Marilyn Tan: Good morning, everyone. Welcome to the FY '25 Results Audio Webcast for Keppel Infrastructure Trust, or KIT. I'm Marilyn from the Keppel IR and Sustainability team. Let me introduce the KIT management team. We have with us this morning, CEO, Mr. Kevin Neo; CFO, Mr. Raymond Bay and Director of Portfolio Management, Mr. [indiscernible]. They will be making a presentation that will cover KIT's FY '25 highlights and business strategy, followed by the FY '25 business and financial update. Please leave your questions for the Q&A session at the end of the presentation. For analysts who are joining us on the MS Teams platform, please check now that on mute before we start the presentation. I will now hand the time over to Kevin for the presentation. Kevin, please.
Tzu Chao Neo: All right. Thanks, Marilyn. Good morning, everyone, and thank you for joining us today. 2025 marks a 10th year of KIT's trading commencement as an enlarged trust, and we are glad to report a strong KIT unitholder return of 36% in the last 10 years. This compares very well against the 61% achieved by the REIT index over the same period. With more than 18 years of infrastructure investment and management experience, KIT has built a strong track record and continues to grow through acquisitions and value creation. We have accumulated a portfolio of very attractive assets that are essential to our daily lives. We are the sole producer and retailer of piped town gas in Singapore. We supply 13% of commercial power in Singapore. We produce more than 20% of the drinking water in Singapore as well. We are the sole producer and distributor of chlorine gas for water treatment in Australia, and we maintain 31% of global subsea cable length. As at 31st December 2025, KIT's AUM stood at approximately $9.1 billion. This is anchored by essential businesses and assets in developed markets across all segments, namely energy transition, environmental services, distribution and storage and digital infrastructure. The next slide. KIT's portfolio is well positioned to capture tailwinds driven by long-term structural trends of energy transition, digitalization and rapid urbanization. Our strategy is focused on essential infrastructure that provides stable cash flows and has long-term growth potential. Our assets are located in developed markets in Asia Pacific and Europe, where there's strong legal and regulatory frameworks in place. And last but not least, we are in sectors where we have operational expertise either in Keppel or in partnering experienced local teams on the ground. Overall, 2025 was a good year for KIT unitholders. We reported DI of $249.5 million for the year, which is an increase of 24% year-on-year. We achieved total unitholder return of over 17% for the year. We continue to add value to the trust, having unlocked over $300 million in net proceeds from capital recycling and deployed $120 million to acquire GMG, marking our foray into the digital infrastructure segment. We have the financing flexibility to utilize the remaining proceeds of about $180 million and have the debt headroom for further accretive acquisitions. As at end 2025, the gearing levels and ICR for KIT remained strong at 39% and 7.6x, respectively. KIT received industry awards last year, and our appreciation goes out to the Edge Singapore and AustCham Singapore for these accolades. KIT was named the overall sector winner and recognized as a top performer in shareholder returns over the past 3 years at the Edge Singapore Billion Club Awards 2025. This achievement reflects our sustained focus on long-term value creation for our unitholders. At the AustCham Singapore, Australia Business Alliance Award 2025, KIT was recognized as a Singaporean company with a significant contribution towards advancing sustainable infrastructure that supports communities in Australia. We are declaring a DPU of $0.0197 for the second half of 2025, and this will be paid on 20th February 2026. This aggregates to the full year 2025 DPU of $0.0394 which is an implied yield of 8% based on the year-end closing unit price of $0.49 for 2025. Looking back on the track record, KIT's transformation and asset recycling strategy since 2019. The chart on the left shows illustratively the income profile for the DI from initial portfolio without acquisition versus the chart on the right that shows the actual reported DI to unitholders. The green bars above represents the income contribution to KIT's portfolio DI derived from various acquisitions and realizations made since 2019. We have been very successful in investing and replacing the recap of DI when certain concession assets were extended. We have also grown our evergreen businesses within the initial portfolio. For instance, City Energy accounts for 22% of DI in FY 2018 but contributed more than 60% of the initial portfolio DI in FY 2025. Our focus is to deliver resilient cash flows to unitholders through active portfolio management to strengthen portfolio constitutions anchored by essential businesses bearing cash flows that are very defensive against market disruptions. This is how we managed to maintain our DPU through COVID-19, which is one of the most significant market disruptions in the last 10 years. Next slide. KIT's portfolio of essential businesses and assets provide products and solutions, for which demand remains steady because of economic cycles. These are business strategies that we look to drive the next stage of value creation for KIT. First, portfolio cash flow stability remains a key priority, and we will continue with our proven capital recycling approach of invest, divest and reinvest discipline to build a resilient portfolio with strength in underlying cash flows. Second, you want to strengthen the operating cash flows for existing assets and businesses by driving value-creating initiatives and capitalizing on sector-specific growth drivers. Third, we will employ active capital management to support sustainable distributions and continued growth in unitholder returns. With these strategies in mind, we have outlined specific objectives and areas to share with our unitholders. As an active manager, we will continue to evaluate our portfolio on an ongoing basis to recycle capital from divested assets for redeployment into accretive assets or businesses with stable cash flows. The goal is to manage DPU stability and offset the expected decline in income from concession assets. The focus on new acquisition is expected to be on energy transition, digital infrastructure and environmental solutions. This is in line with the recent OCBC report where analysts expect growing adoption of AI to drive demand for fiber connectivity, data centers, power generation and grid infrastructure. Our objective is to build and own an optimal portfolio of stable assets and growth assets to achieve DPU stability and growth. Currently, we have $180 million of divestment proceeds remaining from the sale of Philippine Coastal and Ventura for immediate redeployment. In addition, KIT's net gearing of 39% is healthy. Therefore, we could make use of debt headroom to acquire. Concurrently, we are focused on driving organic and inorganic growth in revenue and achieving operational cost efficiency for existing assets in our portfolio. In tandem, we work with the respective operating teams from the evergreen businesses such as City Energy, Ixom and GMG to execute on the planned growth strategies to grow KIT's operating earnings. As part of active capital management, we have been monitoring the market for opportunities to undertake early refinancing amidst the conducive interest rate environment. We expect to complete and execute on KIT's FY 2026, refinancing needs well ahead of maturity. Raymond, our CFO, will cover this in greater details. Financial flexibility is key as we pursue various options, including utilizing recycled capital, pre-invested cash and KIT's debt headroom with prudence for accretive acquisitions. Our main goal is to achieve DI and DPU continuity into the long run, and we are working to achieve this through the successful execution of our planned accretive acquisitions and value creation initiatives. But with that, let me hand over to [indiscernible] for the FY '25 business updates.
Unknown Executive: Thanks, Kevin. Hello, everyone. I'm [indiscernible] joined the team as Director of Portfolio Management since November. I'll take you through the KIT portfolio business updates in the next few slides. Going to Slide 12. FY '25 saw stable operations for our assets and businesses in the energy transition segment. City Energy achieved higher FFO of $62 million for the year, mainly through its core operations. We tracked total gas water heater sales and the increase in market share in the residential market has been meaningful with potential for future growth. Growth opportunities are also present in the commercial and industrial market in new developments and in retrofit projects for existing properties. The FFO for the transition assets was an aggregate $124 million for FY '25, which included a cash surplus from capital management of AGPC 4Q '25. For AGPC, we had higher volumes in FY '25 compared to the prior year, underpinned by stronger demand. The FFO for the wind farms portfolio came in lower year-on-year mainly due to BKR2. However, wind resources in the second half of '25 have recovered compared to the same period last year. The European onshore wind platform saw stable production levels in FY '25 at lower power prices. The FFO for the German solar portfolio was SGD 46 million for FY '25, up 18% year-on-year, underpinned by stable performance. For the Environmental Services segment, the Singapore concession assets contributed an aggregate $52 million for FY '25. We maintained stable operations and met all contractual obligations with the regulators, such as NEA and PUB in the financial year. We continue to pursue potential opportunities for concession extensions following SingSpring's extension to 2028, noting that our land lease is only due in 2033. Moving on to EMK. Pricing in the private landfill business is expected to remain largely sideways. We continue to stay disciplined on pricing and focused on optimizing the NAV of our asset. For the incineration business, starting 1st of Jan this year, the Seoul Metropolitan Area or SMA, implemented a direct landfilling ban for municipal solid waste. With this in place, we see pricing upside for private incineration facilities. Public incineration facilities are running near full utilization, and this ban is expected to drive higher demand for private incineration facilities such as EMK, which are located near the SMA. Therefore, EMK plans to grow its incineration capacity, which is also running at full utilization to capture this tailwind and increase FFO for the Distribution & Storage segment. The FFO for Ixom was $71 million for FY '25, an increase of 42% year-on-year, underpinned by strong operating earnings. The bolt-on acquisition of the Hilditch base oils import and distribution business in 4Q '25 is expected to drive continued revenue and EBITDA growth in 2026. Hilditch earns a stable margin per unit volume and is expected to benefit from near-term tailwinds from Australia's new fuel emission standards supporting demand for refined and cleaner base oils. The FFO for Ventura was $23 million for FY '25 and was higher year-on-year on a 100% basis, underpinned by higher EBITDA. For the year, it achieved 100% service reliability and on-time performance exceeding 90% and secured new charter contracts. Ventura's maintenance CapEx is mainly debt funded. And for FY '25, the maintenance CapEx of $21 million was added back to derive DI. Ventura's business model requires ongoing maintenance CapEx, and the company will debt fund this CapEx in the near term. We completed the acquisition of GMG on 25th of November 2025. Hence the income contribution to KIT of about a month of about SGD 1 million is in line with our due underwriting. Since completion, the team has successfully extended a long-term charter to 2028 and are maintaining zone contract to 2030. Similar to Ventura, GMG is a business which requires ongoing maintenance CapEx for vessel upkeep, such as dry docking and we expect to be debt funding lease in the near future. In the next 2 slides, we will outline the strategic priorities for our evergreen businesses. We continue to work closely with the respective operating teams on the ground to execute these strategies and drive future operating earnings. These essential businesses have established strong local brands and local market positions in markets with high barriers to entry. They are long-term platforms focused on delivering customer-led solutions and creating sustainable value over time. For City Energy, our focus is on driving further market share gains in residential water heaters from the current 20%, increasing commercial and industrial gas usage and raising consumer awareness of the benefits of gas water heaters to support broader adoption. For Ixom, the key priority is to strengthen our market-leading positions across the core manufactured and traded product segments supported by long-standing relationships with key customers in the water utilities, manufacturing and resources segments. Other initiatives include continued growth in the bitumen business supported by disciplined growth CapEx and unlocking revenue and cost synergies from the recently acquired Hilditch business. For Ventura, we aim to maintain our strong track record in service delivery and standards, grow market share in the charter business for both public and private runs and position ourselves in a public bus service contract renewals coming up in 2028. EMK has the potential to further strengthen its position as one of the largest private incinerators in South Korea. The key catalyst ahead is the scaling up of incineration capacity to capture demand tailwinds driven by favorable policy changes. For GMG as one of the leading independent providers of subsea fiber optic maintenance, installation and support vessels, the focus is on maintaining strong operational reliability and a track record of vessels. At the same time, we aim to grow our fleet of specialized cable installation and maintenance vessels, underpinned by strong global demand for subsea cable connectivity. Moving on to the ESG slide, we met our ESG targets for the year across the 3 pillars of our sustainability framework, environmental stewardship, responsible business and people and community. In addition, we achieved a rating of A in MSCI ESG ratings assessment in recognition of the strong management of financial and industry relevant ESG risks and opportunities. I will now hand the presentation to Raymond for the financial and capital management of KIT.
Teong Ming Bay: Thank you, [indiscernible]. Hello, everyone. I'll kick off my section with this slide that demonstrates KIT's strong earnings track record in the last 5 years. Moving to the next slide. The DI for FY '25 increased over 24% year-on-year to approximately $250 million. Asset DI before corporate cost was higher at $349.1 million. This is underpinned mainly by higher contribution from City Energy, the German solar portfolio, Ixom and Ventura. This included a cash surplus for AGPC, which was substantially used for debt repayment at KIT trust level. In the Environmental Services segment, lower income from Senoko after concession renewal was partially offset by the full year contribution from MEDP in FY '25. Corporate expenses, excluding the debt repayment, were lower year-on-year, mainly due to no performance fee accrued in FY '25. We recognized a divestment gain of $49 million from the sale of interest in Philippine Coastal and Ventura. Moving to the next slide. This is the second half FY 2025 DI. The DI increased about 21% year-on-year to $130.1 million. Asset DI before corporate cost was higher at $199 million, underpinned by higher DI for City Energy, the wind farm portfolio, AGPC and the German solar portfolio. In the Environmental Services segment, lower income from Senoko after concession renewal was partially offset by the full year contribution from MEDP in the second half of FY '25. Corporate expenses, excluding the debt repayment, were higher year-on-year, mainly due to higher trustee manager base fee. We recognized a divestment gain of $27 million from the sale of interest in Ventura in the second half of FY '25. Moving to the next slide. On to the balance sheet. KIT reported net gearing of approximately 39% with interest coverage ratio at 7.6x. The consolidated debt for KIT aggregated to about $3.2 billion as at end FY '25. Pending capital deployment, about $180 million of the remaining divestment proceeds have been used to pay down existing borrowings at the trust level. The weighted average cost of debt at the group was lower year-on-year at 4.4%, the weighted average cost of debt at the trust level was also lower at 3.4%. KIT has hedged approximately 73% of the trust's foreign income and approximately 72% of the KIT's total borrowings are hedged. Moving to the next slide. We have received firm commitments to refinance Ixom's loan subject to documentation and expect to complete the early refinancing ahead of its expiry in the second half of this year. We are also evaluating refinancing options for the remaining $330 million debt at trust level maturing later in the year. To date, we have approximately $239 million of committed RCF that is undrawn. To conclude, the refinancing needs for FY '26 will be met as we look to complete the refinancing ahead of expiry. With $180 million of remaining divestment proceeds and ample debt headroom, we are well positioned to execute our planned accretive acquisitions and value creation initiatives to achieve DI and DPU continuity into the long term. Thank you. With that, I will now hand over the time back to Marilyn.
Marilyn Tan: Thank you, Kevin, [indiscernible] and Raymond. We will now proceed to the Q&A session. [Operator Instructions] Okay. We have the first question from Shekhar.
Shekhar Jaiswal: [indiscernible], welcome to KIT. Okay. Good, good set of numbers. Really impressed, but I have a few things to ask about 2026. How should I look at GMG's distributable income in '26? Like the 1-month contribution we should look at annualizing it?
Unknown Executive: Correct. Yes. So as you correctly mentioned, GMG contributed SGD 1 million. Going forward, the DI run rate is expected to remain for FY '26. And -- but I think one thing we would like to note is that GMG is a business which requires regular maintenance CapEx from vessel dry docking, right? But most of this maintenance CapEx is expected to be debt funded. So the focus is on DI.
Tzu Chao Neo: So maybe I could add to that. When we -- something like what we did with Ventura, when we bought the business, we are aware that there is certain CapEx or maintenance requirements, which could be a bit lumpy, right? So when we enter into the transaction, we kind of size the capital structure such that we could use the debt capacity to debt fund certain expenses. This is to maintain DI's ability. So that's our plan.
Shekhar Jaiswal: Okay. That helps. Just continuing on the same topic. You said there's now a long-term charter extended to 2028, maintenance contract to 2030. Can I get a sense on what percentage of your revenue or EBITDA from GMG is now covered with multiyear agreements?
Unknown Executive: So to give you a sense, right, we have 6 vessels to our long-term charters. We have already secured 5 of those. We are in the process of renegotiating another one. And all 4 maintenance vessels, which are under the consortium model have been recontracted. So to answer your question, it's 5 out of 6 have charter certainty.
Tzu Chao Neo: So I think when we announced the acquisition during our AGM last year, I think certain contracts was coming up -- certain contracts was renewed even before we entered into the transaction. And I think there was one contract that will come soon after the AGM, and that contract was renewed. And I think this basically plays to what we have been saying, right? There is a lot of demand for such vessels given the outlook for CapEx requirements to build new cables, to maintain cables in DCs, right? So this is where I think we want to ride that macro trend.
Shekhar Jaiswal: Understand, understand. Okay. I just have two more questions before I jump back in the queue. I see there's a lot of other people waiting to ask. On BKR2, can I get an update on the wind situation? How should we look at 2026. You did mention in the slides that second half is looking better than year-on-year, but on half-on-half and how should we look at the 2026 DI for it?
Unknown Executive: Yes. So as a recap, thinking about the factors which drive BKR2 performance, it's number 1 is mainly related to wind, right? Because the pricing is actually locked in by a feed-in contract -- feeding tariff contract backed by the German government. So if you look at the wind speeds in second half of 2025 and compare that against second half of 2024, they are at or already above levels in the previous period.
Tzu Chao Neo: So I think last year, I think there was a lot of concerns around BKR2, given the winds, yes, we have said that in the first half of 2025, wind speed was very bad due to pretty rare climate phenomenon. I think we are glad to share that as what [indiscernible] has mentioned, the wind speed for second half has recovered. And the wind speed for second half 2025 is higher than that of the second half of 2024. But we hope that this will continue. And if this continues in 2026, hopefully, the performance from BKR2 is better than that in 2025, if we have a full year of proper winds.
Shekhar Jaiswal: Okay. Okay. Fair enough. So we still look at it. We see how the first quarter goes and then reassess, is it?
Tzu Chao Neo: Yes. Yes. So unfortunately, wind is not something that we can control. But like I said, when we look at wind, we have to look at it from a long-term perspective. There will be years where it may be below average, there'll be years where it may be above average. But long term wise, over the midterm, it should average out.
Shekhar Jaiswal: Okay. Fair enough. Just 1 more question and then I'll jump back in the queue. In terms of pipeline, anything from Keppel's ecosystem where you -- and which verticals where you think most actionable ideas would come through or needs could come through over the next 12 months?
Tzu Chao Neo: Sorry, Shekhar, I missed your question. If you don't mind, could you just repeat it?
Shekhar Jaiswal: Yes. I'm saying from Keppel's ecosystem, if you have to look at deal flows, which verticals where you think will be the most actionable deal flow would be in the next 12 months?
Tzu Chao Neo: Yes. So I think Keppel is across the verticals that we are in at the moment. I think certain assets are being constructed, and I think some of them were probably coming online over the period of time. As and when they come due and if they are appropriate core for KIT, we will definitely put our hands up to kind of -- to express our interest in acquiring them. But this will be done on a so-called very unplanned basis. But we do expect to call it a bit of activity in the energy transition sector, not just from the Keppel's tabled assets. But I think globally, right, we do expect a lot of activities around the energy transition and digital infrastructure segment.
Marilyn Tan: Okay. The next would be to Hoo Ezien. Can you identify which house you're from?
Ezien Hoo: Sure. It's Ezien from OCBC's credit research team. So my question is on AGPC. I think I may have missed a bit of what management was saying. There was a cash surplus from capital management at AGPC. Was that used to pay debt at the trust level. And if so, can you please explain more what actually happened at AGPC and what was done with the capital? That's all.
Teong Ming Bay: Ezien, thanks for the question. I'll take that. So yes, so what happened was there was a refinancing activity in AGPC level. When the refinancing happened, there is a need to relook into the hedge position that led to a certain IRS has been -- we unwind certain IRS, which resulted in a gain. So the gain is approximately $51 million. This is -- I would like to stress that this is a one-off, right? And what happened is we -- this $51 million has been utilized to repay debt. And this debt will basically is an RCF facility. When we pare it down, it would become a war chest for us. We will have extended financial flexibility for acquisitions.
Ezien Hoo: So the RCF facility is at the trust level.
Teong Ming Bay: That's right. KIT's trust level.
Tzu Chao Neo: So just to be clear, right, the total DI is not impacted by this because the proceeds is used to completely pay down debt at a KIT level. So it's a flush trigger.
Marilyn Tan: Next question we have from Jialin.
Jialin Li: Congrats on strong results. This is Jialin from CGSI. I have 3 questions before I jump back to the queue. So the first one could you walk through the CapEx for FY '26, I think especially for EMK, Ventura and GMG where you see strategic opportunities to grow? So what's the quantum of CapEx we are talking about? Should I finish all my questions before we dive into the answers or ...?
Marilyn Tan: Yes. Jialin, it would be good if you give us all 3 questions.
Jialin Li: Okay. Yes. So my next question is on GMG. So if we just focus on DI management guided just now, right? So can we think of resemble distributable income as a so-called clean DI meaning without debt repayment, without CapEx? And is it how we should be looking at FY '26 DI? And my third question is looking at distribution for next year, right, what's your thoughts around distribution trajectory for next year?
Unknown Executive: Yes. So maybe I'll touch on the CapEx slide, right? So I think going on the CapEx plan for EMK, as we previously alluded to, we are dedicating some CapEx towards incinerator capacity expansion this year. This is to account for the fact that our incinerators today are 100% utilized, coupled with the fact that we are seeing incremental demand from the direct landfilling ban in Seoul which is supportive of pricing. So we are actually expanding capacity in 2 of the 4 incinerators that EMK currently operates. So that's on EMK. For Ventura, we are on the constant lookout to replace and deploy maintenance and growth CapEx towards the bus fleet.
Tzu Chao Neo: So maybe I can just shed a bit of light on the CapEx plans for both EMT and Ventura. I think as what [indiscernible] mentioned, I think our incinerator is at maximum utilization. We do expect waste for incineration to increase especially given the policy change in the Seoul metropolitan area. Our landfills -- sorry, our incinerators are located just outside of SMA. So we are well positioned to receive the additional waste, right? And in order to capitalize on that long-term trajectory, we need to expand our capacity, right? And we do not expect this expansion to have an impact on EMK's cash flow because they're funded by cash on the books or by debt facilities that we have sized for this purpose. And I think this will be done over phases, right? And I think what I would like to point out is that this year, the incinerator at EMK is scheduled for some refurbishment. And we are just using that period of time to undertake the expansion. So this is a very efficient way of undertaking expansion. As probably everyone knows, Keppel as a group, my sponsor, has very strong operating and technical expertise in this area. We have obtained support in helping EMK to expand. And this is something that we spoke about last year. And I think we are -- we are seeing all this execution panning out as we speak. All right. And I think there is this question about GMG, the DI for December. Yes, that's clean where you can -- almost for the full year in 2026, you can annualize that to get to a estimates of the DI forecast from GMG. So last year, there's a 1 month or slightly over month of contribution. This year, we received 12 months of contributions. So the DI from 2025 had to be adjusted for that to get a more accurate estimation for 2026. Have we answered your question? Anything that's unanswered?
Jialin Li: Yes. I think maybe one follow-up question is on CapEx, whether we could share certain amount like planned for -- planned aside for CapEx just for modeling purposes. And another -- the last question was on distribution trajectory for next year.
Teong Ming Bay: Jialin, if you don't mind, could you refer to Slide 34 of our presentation slide. We have disclosed our CapEx guidance and also the debt amortization over there.
Tzu Chao Neo: And I think on the distribution guidance, right, I mean, we don't want to give profit guidance. But I would say, I think we are in a good position. Our -- the 2025 DI from certain assets does not reflect the full contributions. For example, you need to annualize the DI from GMG to project what we will get for the full year of 2026. And I think we have -- last year, we realized about $300 million of capital from recycling of Philippine Coastal and a stake in Ventura, we have redeployed about $120 million of debt. There's about another $180 million that we can deploy this year. In addition to that, our balance sheet is very strong at 39%. So there's additional debt headroom that we can leverage on undertaking accretive acquisitions there.
Marilyn Tan: Next in the queue would be questions from Suvro.
Suvro Sarkar: Kevin and team, I just -- the first question from me is on the divestment gains part of it. So I'm a bit confused by the classification of divestment gains as part of our DI. So I mean, I always thought that divestment gains or losses, whatever it means is an accounting item and not a cash item, the whole cash sale proceeds should be a cash item. So how does it fit in with the DI, which is the cash flow basically? And if you're using divestment gains to the distributions, then how come we are still saying that we have $180 million remaining from the $300 million sales proceeds for -- so there must be some cash that has been used for the distributions from this side.
Teong Ming Bay: Yes. Suvro, thanks for the question. So in fact, the divestment gain is an actual gain. What we have done with the divestment gain is you could think of it as a real gain at a principal level, right? What we have done is we have taken debt meanwhile to repay the debt at trust level as a cash management basis.
Tzu Chao Neo: Yes. So maybe So the way I would explain is that we sold PCSPC last year. We saw a 25% stake in Ventura, right, at a very good gains. I think the gains over there is about over 30% in a year, right? So we make profit on the sale of a 25% stake in on GMG, that's on the real cash gain, right? So we recognize that a part of that real cash gain into a DI and the vast majority of that proceeds is not recognized in our DI. We only recognized a gain in our DI. The principal is still left in our balance sheet, which we have used part of it to reinvest in GMG. So of the $300 million, $120 million is used to take like a very significant stake in GMG. And we have about $180 million left, right? And part of this $180 million, we have used to reduce the pay down debt. The reduced interest expense across KIT, right? And that basically lowers our gearing down to 39%, which is very healthy, right? So we have those divestment proceeds as well as the additional debt headroom that we can do that can utilize to make further accretive acquisitions. Hopefully, that clarifies.
Suvro Sarkar: Yes. So you're talking about the debt headroom not actual. So -- because you have to pay distributions of $240 million this year if you're distributing $0.0395. And your DI is $250 million. So at least of the $50 million divestment gains have to pay out at least 40 million to -- from that to the unitholders. So how do you classify it as a increased debt headroom?
Tzu Chao Neo: Okay. Sure. So maybe let me just take a step back and explain it. We have certain proceeds from the sale, right? And we did not recognize the full sale proceeds into the DI, we only recognize the gain that we make right on Ventura, et cetera, into the DI, right? So yes, we have about $250 million, $40 million is about -- or $40 million is from the sale of Ventura. So that still reflects well against the delivery performance because it's still higher DI. But more importantly is I do not -- I think we want to kind of make it clear that recurring DI that you're trying to back so for 2025 results, does not reflect the full DI generation potential of KIT. Because that operating or recurring DI only includes 1 month of contribution from GMG, right? So if you annualize that, then you'll get to a better amount. And there's also a certain growth that we are trying to achieve in our portfolio that also had to give additional DI vis-a-vis 2025. And what we would also like to say is that the deficit proceeds, right, have not been fully redeployed as some of it has been used to pay down debt. Some of it has cash on balance sheet. And these are the amount, right, that we can use to reinvest that will create additional DI -- surplus for our -- KIT's uniholders.
Suvro Sarkar: Got it. One other question on the CapEx front. In terms of growth CapEx versus maintenance CapEx breakdown -- so I see the 2026 numbers on Slide 34. So we are projecting around $100 million growth CapEx in total for next year. How does that compare with the growth CapEx in 2025? Is it higher and how do we finance this growth CapEx?
Teong Ming Bay: Yes. Suvro, maybe I can take this. So the growth CapEx is largely stable. I wouldn't say there's a huge increase on this. In terms of growth CapEx, I think it's largely going to be funded through internal cash of the respective business or debt facilities.
Suvro Sarkar: Okay. So shouldn't affect DI to a lot extent.
Teong Ming Bay: No, no.
Tzu Chao Neo: So Suvro, maybe just 1 point that I'd like to just add because I think what we're trying to do is we are trying to solve for the KIT's recurring DI, if -- and I think your question is about that gain in our DI. The way I'd probably look at it is that if we did not sell a 25% stake in Ventura, our DI will also be higher than what you are projecting here.
Marilyn Tan: Thanks,Suvro, for the questions. We have another question from Jialin.
Jialin Li: Yes. Sorry, it's me again. Yes, I have a follow-up question on Ixom. So just wondering whether you could share details on the acquisition of one its subsidiary happened this year? And also because I saw the CapEx breakdown for next year, there is quite some amount spent on Ixom. So just wondering whether you have plans for another acquisition of -- one of its, I don't know, maybe like subsidiary under Ixom or whether this is just expanding its current project line?
Unknown Executive: Yes. So thanks, Jialin, for the question. So I think sharing more details around the Hilditch acquisition. So this is a base oil importer and distributor. So these are actually like engine oils and lubes used for vehicles typically for long-distance transport. So these are like logistics vehicles. And the business is expected to benefit generally from a tightening of fuel emission standards towards higher spec type of base oils. So the acquisition is expected to contribute roughly about a single-digit percentage EBITDA to Ixom's pre-acquisition levels.
Tzu Chao Neo: Maybe again, just a bit more. Ixom, as we always say, there is two key businesses in Ixom. One is the chlorine business, the other is the chemical distribution business where [indiscernible] Australia. And it owns these fleets of very specialized chemical -- hazardous chemicals distribution fleets, right? So this acquisition is done by -- it's a bolt-on for this chemical distribution business. So the thinking behind that is to use the same infrastructure to distribute that product to retain customers. So it basically increases revenue to us. I think this acquisition was done pretty late last year. So our DI for last year does not reflect the full contribution from these acquisitions. So come 2026, you should see the full year contribution over that. So we expect an uplift over there as well. And more importantly, it's because we are using the same infrastructure to distribute more products to the same customers. There's also some operational efficiency that we can realize over there.
Jialin Li: Okay. could you remind me of your -- because just now you mentioned the financial implication is on the EBITDA level, right? So could you maybe remind us of the EV EBITDA before this acquisition or maybe at the acquisition of Ixom itself?
Unknown Executive: So I believe we had disclosed in one of our previous slides that Ixom's EBITDA is roughly AUD 200 million. In the current slide, we also have the EBITDA levels for Ixom, if you refer to our business updates.
Jialin Li: Okay. Got it. And sorry, just to clarify. So the financial implication of this new acquisition is -- should we look at it via EV EBITDA? Or should we look at a certain percentage increase in EBITDA?
Unknown Executive: Yes. So as I previously mentioned, it's going to be a single -- mid-single-digit EBITDA contribution to Ixom's pre-acquisition EBITDA.
Tzu Chao Neo: So let me put a little bit more. So Ixom's last year, full year ending 2025, I think it's doing over $200 million -- slightly over $200-plus million EBITDA. This acquisition is done late last year. So it's not fully reflected into the number. As what [indiscernible] has mentioned, this acquisition on a full year basis could result in a mid-single-digit increase to Ixom's EBITDA. So this is then flows down to our DI.
Marilyn Tan: Do we have any other questions from the analyst community? Okay. If not, then let me just quickly raise -- first and foremost, thank you to our public audience for your questions posed. I believe most of the questions have been addressed earlier through the common questions raised by the analysts. I just have 1 or 2 other additional questions that I will pose to our management team now. The first question is on Ixom's debt. The question is whether -- is there an expected refinancing cost for the Ixom's debt that we should be considering? And whether or not it is significant?
Teong Ming Bay: I can take that. So we do not foresee an increase in refinancing costs. In fact, we do see a loan margin compression for Ixom. But do take note that the current markets situation in Australia. There are talks about RBA may increase the base rate. So I think at the end of the day, it would be netted off position. So to answer your question, there will not be an increase in refinancing cost for Ixom.
Marilyn Tan: Okay. Thank you, Raymond, for the response. The second question is on the query on the projected CapEx for GMG, can management please advise on the CapEx?
Tzu Chao Neo: Yes. So I think when we sought unitholder's approval for these acquisitions, I think we have disclosed that there is a lot of growth potential in this business. Our vessels are fully utilized. We want to grow the business, and we want to either buy new vessels -- construct new vessels or buy existing vessels and compare them into cable laying vessels. I think I'll say we are making good projections over there. I think we have acquired a vessel that's being repurposed into cable laying vessels, which we hope once it's been completed, can be deployed and we should then add to revenue, right. The -- and when we look at these acquisitions, right, we are aware of certain -- growth CapEx that will be coming up. And our plan, right, is to actually -- and we have also sized debt facility that we plan to use the debt fund all this CapEx. And so as a result, which is a result of this funding method, the impacts to our DI -- of the growth CapEx on a DI is not going to be material. But of course, we have also set aside as disclosed certain equity commitments that we have prepared to put in to buy even more vessels, right? At this stage, we have not utilized -- or we have not planned to put in that equity yet. But as and when we are able to see on new vessels, we will inform the market accordingly.
Marilyn Tan: Thanks, Kevin, for response. Let me just quickly check to see if there are any additional questions that have come through. Okay. I think we just have one more question to -- from the public. So the question here is how big is our onshore wind farm capacity? And then the second part of the question is whether we intend to buy more of assets?
Tzu Chao Neo: Yes. I would say we have about 1.3 gigawatts of renewable capacity, right, of which, I would say, 450 megawatts or 470 megawatts is for the German BKR2, the offshore wind farm. Then a big chunk of the remaining actually goes to our -- comes from our solar asset, the German solar portfolio, where it is doing very well. I think it has received or registered a good increase in DI from the German solar portfolio. And our wind farm basically -- our onshore wind farm is basically distributed across Norway and Sweden. From an investment quantum perspective, it's a relatively small part of our portfolio. Do we have more plans to buy more wind farms? I think as and when we find good assets in this sector, we will do it. But if there isn't any attractive assets, I think we're happy to kind of consider other sectors as well.
Marilyn Tan: Thanks, Kevin. I think with that, we have completed all the questions that have been posed to us by analysts and the public. Thank you so much, everyone, for making time to attend our call. If there are no further questions, we will now close this morning's call, and have a good day ahead. Thank you.